Operator: Good morning. My name is Melissa, and I will be your conference call operator today. At this time, I would like to welcome everyone to the Bath & Body Works Fourth Quarter 2024 Earnings Conference Call. Please be advised that today's conference is being recorded. [Operator Instructions] I will now turn the call over to Luke Long, Vice President of Investor Relations. Luke, you may begin.
Luke Long: Good morning, and welcome to Bath & Body Works fourth quarter and full year fiscal 2024 earnings conference call. Joining me on the call today are Gina Boswell, Chief Executive Officer; and Eva Boratto, Chief Financial Officer. In addition to this call and this morning's press release, we have posted a slide presentation on our website that summarizes the information in these prepared remarks in addition to providing some related facts and figures regarding our operating performance and guidance. As a reminder, some of the comments today may include forward-looking statements related to future events and expectations. For factors that could cause the actual results to differ materially from these forward-looking statements, please refer to this morning's press release, as well as the risk factors in Bath & Body Works' 2023 Form 10-K. Today's call also contains certain non-GAAP financial measures. Please refer to this morning's press release and supplemental materials for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measure. Fiscal 2023 was a 53-week year. To provide the best understanding of the business, all category sales results, year-to-date market share data, loyalty metrics, and selling metrics discussed during the call are on a comparable calendar basis, which is the 13 weeks ended February 1st, 2025 versus the 13 weeks ended February 3rd, 2024. All other results discussed are on a reported basis, which is the 13 weeks ended February 1st, 2025 versus the 14 weeks ended February 3rd, 2024. With that, I'll turn the call over to Gina.
Gina Boswell: Thank you, Luke. And good morning, everyone. We appreciate you joining us. On today's call, I'll start with a high-level review of our key accomplishments in 2024. Then I'll briefly walk through our fourth quarter results, including our growth drivers and the progress we've made against our strategic priorities. I'll also share a brief update on our 2025 expectations before turning it over to Eva to share more about our financial performance and guidance. Bath & Body Works is a global leader in personal care and home fragrance, and we make the world a brighter, happier place through the power of fragrance. This purpose truly comes to life during the holiday season, and I witnessed it firsthand in stores, seeing our customers react to our beautifully curated holiday floor sets. I want to take a moment to thank our teams, especially our store and distribution center associates, for delivering an outstanding customer experience during the critical fourth quarter. This past year can be best summarized as one of building momentum and establishing a strong foundation for long-term growth. We successfully executed a number of key strategic initiatives to support our return to growth. For example, we launched collaborations with big names in pop culture through partnerships with companies like Netflix to better connect with our customers. We successfully rolled out Everyday Luxuries, our prestige-inspired line of fine fragrance mists, and it is resonating with younger customers. We grew our active loyalty membership 6% year-over-year with approximately 80% of sales flowing through the program. We expanded our customer reach by growing category adjacencies, such as men's, hair, lip, and laundry. And we delivered approximately $155 million of incremental cost savings through our Fuel for Growth program, bringing the two-year total to over $300 million, significantly exceeding our initial targets. Turning to our Q4 performance, while we continue to see value-seeking customer behavior and competitive intensity, we closed out the year strong. Net sales in the quarter were $2.8 billion, above the high end of our guidance. Importantly, our net sales improved sequentially in every quarter of 2024 when normalized for calendar shifts, the 53rd week last year, and the shortened holiday calendar. At the same time, we continued our disciplined cost management and drove gross profit margin that exceeded our guidance and an SG&A rate that was in line with our guidance. Earnings per diluted share were $2.09, also beating the high end of our guidance range. So our strategy is working, and we continue to focus on three priority areas. First, accelerating top line growth. We're doing this in our core through what I call our three-legged stool for growth: product innovation; marketing; and technology. And we're also extending our reach through adjacencies and international expansion. Second, we are enhancing operational excellence and efficiency through cost management and a continuous improvement mindset. And third, we are consistently deploying our strong cash flow to invest for growth and return value to shareholders through dividends and share repurchases. Starting with top line growth. We drove positive dual channel traffic and conversion in Q4, with traffic exceeding the third-party benchmarks we track. As a trusted gifting destination, our customers turned to us to celebrate the holiday season and they responded enthusiastically to our seasonal holiday collections. Timeless favorite Holiday Traditions rose to be the number one collection, and our Home for the Holidays collection had the largest growth year-over-year, up double-digits. We launched innovative products in our core categories, body care, home fragrance, and soaps and sanitizers. Importantly, these categories performed in line with the market, each maintaining their category leadership and unit market share in 2024. Body care grew low-single digits versus the prior year, driven by successful seasonal fragrance launches and the strength of everyday luxuries. We rolled out everyday luxuries to all stores in early fall and customers responded positively to the incredible high-quality fragrance and value it provides. The initiative is attracting a new, younger, and more diverse customer base, and we view it as a platform to drive long-term growth. In 2025, we're expanding the collection with even more captivating fragrances and forms, including body cream and body wash, to create perfect fragrance layering opportunities. Our on-trend single fragrance launches in body care, Platinum in October and Perfect in Pink in November, also performed well. Each offers a unique olfactive appeal and aligns with current fashion trends. Metallic and Pink were both prominent in collections from global fashion houses. Our home fragrance performance in the quarter was down slightly versus the prior year due in part to the timing of our promotional strategies. In the fall, we delivered a successful and intentional new promotional strategy for candles, aimed at bringing customers out early in anticipation of the shorter holiday season. This shifted some demand for candles from Q4 into Q3, as planned, and resulted in a slight decline in the home fragrance category in Q4. Importantly, in the second half of 2024, home fragrance was up slightly to last year, an improvement versus performance in the first half of the year. As the candle category leader, we are focused on sustaining customer interest through innovation and our fragrance expertise, and I'm excited about our product pipeline for 2025. Wallflowers, our fragrance air freshener plug-in performed well in the quarter. Fresh and clean fragrances like our new Clean House Vibes and our established Laundry Days are resonating with customers, especially as their mindset began shifting to spring cleaning in January. Soaps and sanitizers grew mid-single digits in the quarter, driven by our convenient PocketBac forms, moisturizing sanitizers, and new one-ounce sprays. In Q4, the quad-demic fueled demand for these products and our agile supply chain, coupled with strong execution, enabled us to meet that demand efficiently. I want to spend a moment on collaborations, which is a key element of our product and marketing strategy across our core business. Collaborations allow us to deliver highly differentiated storytelling that generates top-of-mind brand awareness with existing and new customers. They drive traffic and they enhance our cultural relevancy. We launched two collaborations in the fourth quarter that both performed well. First, our cross-category Emily in Paris collaboration, which created buzz during the holidays; and second, our Sweethearts collaboration, which launched in January, in time for Valentine's Day. And of course, we are all thrilled about the highly anticipated Disney Princess collaboration, which launched this month. Customers are just as excited as we are about this. Our Disney TikTok post garnered over 1 million organic views on the first day. I'm excited about our product pipeline and the newness we will bring to customers in 2025. Next, customer experience. An important part of our growth strategy is to improve the in-store and online customer experience through investments in marketing, loyalty, and technology. We have successfully transitioned to a predominantly off-mall retailer. Today, 57% of our North American stores are in off-mall locations, and we plan to continue increasing our off-mall portfolio now with a target mix of 75% off-mall over time, given continued consumer preference. Our marketing and technology efforts, the second and third legs of our stool together contributed to record-high customer retention rates and an improvement in attracting new-to-brand customers. As we enter year three of the loyalty program, members continue to significantly outperform non-loyalty customers, leading to increased spend, trips, cross-channel purchases, and higher customer retention. In Q4, we had approximately 39 million active loyalty members, up 6% compared to the prior year. Additionally, our reward redemption rate is increasing, which is driving flywheel behavior and deepening brand connectivity, reflecting the strength and appeal of the loyalty program. And we have planned enhancements to the program in 2025, which we expect will excite customers and drive further improvements to redemption. Our technology roadmap remains on track as we enhance our systems and put in place foundational tools to enable more personalization and seamless customer engagement to drive long-term growth. Finally, we made progress extending our reach this quarter through growth in our adjacent categories and international expansion. We believe adjacencies are an opportunity to expand and diversify our product portfolio, applying our fragrance expertise and leadership to large addressable markets. Our adjacent categories of men's, hair, lip, and laundry continue materially outperform the shop. For the year, they represented approximately 10% of our business, with potential to become a larger percentage of our mix in 2025 and beyond. Momentum in the men's business, which is included in body care, remained strong this quarter as we launched our first men's Purchase With Purchase set for the holiday season, which sold out in four days. In 2025, we plan to launch more core fragrances in men's. And we recently extended our successful Everyday Luxuries platform to men's. Lip, which is also included in our body care business, delivers an immersive experience through our in-store fixture, drawing in younger customers. Lip was up approximately 50% year-over-year in the fourth quarter, and we expect to launch exciting new Lip products quarterly in 2025. Laundry, which is included in home fragrance, is an exciting platform that we believe is positioned for long-term growth, capitalizing on our differentiated fragrance expertise and elevated packaging. We are pleased with the early performance that followed the full rollout of laundry in Q3, and we expect to introduce new laundry forms beyond detergent and boosters in the future to fuel the platform's growth. International expansion remains an important pillar of our long-term strategy. International represents approximately 5% of our net sales, and there is significant long-term opportunity as we enter new markets and expand in existing markets. System-wide retail sales were up nearly 10% in the quarter on a calendar adjusted basis, driven by 20% growth in the areas not affected by the war in the Middle East, while the regions affected by the war declined 4%. This is a significant improvement versus prior quarters, as we have lapped the start of the war. And as we enter 2025, we expect the international business will once again become a positive contributor to top line growth. Taken together, our focus on our growth drivers, including our three-legged stool of product innovation, marketing, and technology, and extending our reach through adjacencies and international expansion drove our return to growth in 2024, and we are eager to continue the momentum in 2025. Turning now to margins. We are enhancing operational excellence and efficiency by continuing to focus on cost discipline. Our Fuel for Growth program delivered approximately $155 million of incremental cost savings in 2024, bringing the two-year total to over $300 million, significantly exceeding our initial targets. Importantly, we're taking a continuous improvement mindset to manage cost and enhance operational efficiencies. This allows us to invest in the business, while maintaining our margins. Finally, we generated significant operating cash flow in 2024, nearly $900 million, and we remain disciplined in how we deploy that cash. We are reinvesting in the business and returning capital to shareholders through dividends and share repurchases. To summarize, I am pleased with our performance and the momentum we're building. As we enter 2025, we expect to drive growth through our product innovation, marketing, and technology. These plans are multi-year opportunities and we are in the early innings. We expect to build on the innovation platforms we launched in 2024, including Everyday Luxuries and collaborations, and we expect to extend our reach through adjacencies and international expansion. Turning to our 2025 outlook, we expect 2025 net sales to be up 1% to 3% on a year-over-year basis, and we expect diluted earnings per share of $3.25 to $3.60. I'm confident that our strategy and focused execution will position the company to achieve sustainable profitable growth and to drive long-term shareholder value. Before I turn the call over to Eva, I want to express a heartfelt thank you to our customers who share our passion for fragrance. With that, I'll turn it over to Eva.
Eva Boratto: Thank you, Gina. And good morning, everyone. In the fourth quarter, we reported earnings per diluted share of $2.09, exceeding our guidance of $1.94 to $2.07. This outperformance was driven by net sales exceeding our expectations, our ongoing cost discipline, and a lower-than-expected tax rate. We delivered net sales of $2.8 billion, which decreased 4% to the prior year and exceeded our guidance. The fourth quarter was impacted by the calendar shifts, the 53rd week last year, and the five fewer shopping days between Thanksgiving and Christmas this year. Our net sales growth accelerated from the third quarter to the fourth quarter when normalized for these factors. In US and Canadian stores, net sales totaled $2.1 billion. This was a decrease of 2% versus the prior year. Direct net sales were $595 million, a decrease of 9% compared to last year. However, when adjusting for Buy Online, Pickup In Store, or BOPIS, direct sales outperformed stores. BOPIS demand increased by 45% in the quarter versus last year and represents approximately 25% of total digital demand. International net sales were $84 million, down 10% from the prior year. Adjusted for the extra week, net sales were down mid-single digits and in line with our expectations. Our fourth quarter gross profit rate of 46.7% exceeded expectations and expanded 80 basis points compared to the prior year. Gross profit versus prior year benefited from continued cost savings, distribution productivity, and timing of certain cost. We are pleased to have delivered both gross margin and net sales above guidance. I would note that our fourth quarter net sales performance was volume-led, with AURs down mid-single digits. Mix-adjusted AURs were down low-single digits, driven by the shorter holiday season, which resulted in fewer high AUR shopping days and strategically planned promotional days. SG&A as a percentage of net sales was 22.3%, in line with our expectations. Our Fuel for Growth cost optimization plan delivered benefits of approximately $40 million in the quarter and approximately $155 million for the full year. I am pleased with our team's outstanding work on this initiative. Fourth quarter operating income of $678 million was 24.3% of net sales. With respect to inventory, we ended fourth quarter with total inventory up 3% to last year, in line with our expectations. Our inventory levels are clean, heading into the spring. Turning to real estate, our portfolio remains healthy with 57% of our fleet in off-mall locations. For the full year, we opened 106 new North American stores, nearly all in off-mall locations, and permanently closed 61 stores, predominantly in malls. We expanded square footage 3% in the year. Internationally, our partners opened 44 net new stores during the year and we ended the year with 529 stores. Turning now to our 2025 financial guidance. As Gina said previously, we will continue to focus on three key areas. First, accelerating top line growth in our core through product innovation, marketing, and technology. We'll also continue extending our reach through adjacencies and international expansion. Second, enhancing operational excellence and efficiency through cost management. And finally, disciplined deployment of our strong cash flow. Our priorities are to invest for growth and return value to shareholders through dividends and share repurchases. For the full year, we expect net sales results to range between 1% and 3% growth versus prior year. The midpoint of our guidance assumes growth consistent with the fourth quarter when adjusting for calendar impacts. We expect North American square footage growth of 2% to 3%, roughly in line with 2024. We expect international net sales to return to growth. We expect full year gross profit rate to be approximately 44%, supported by cost discipline, offset by product innovation and investment in real estate. We expect full year SG&A to be approximately 27%. We are continuing marketing investments of approximately 3.5% of sales. We continue to invest in technology, with spending up modestly versus 2024, largely in the back half of the year. We expect a modest wrap-around benefit from our 2024 cost savings initiative. Our continuous improvement mindset will help drive efficiencies to offset investments in technology and wage inflation. We expect full year net non-operating expense of approximately $255 million, reflecting lower interest expense given our debt paydown throughout 2024. We expect an effective tax rate of approximately 26% and weighted average diluted shares outstanding of approximately $213 million. We have assumed $300 million of share repurchases throughout the year. Considering these inputs, we are forecasting full year earnings per diluted share to be between $3.25 and $3.60. Turning now to the first quarter, our Q1 net sales outlook also reflects growth of 1% to 3% versus prior year. We expect Q1 system-wide retail international sales up high single-digits with reported net sales growth of double-digits due to ship sales timing in Q1 this year. We expect first quarter gross profit rate to be approximately 43.3%, 50 basis points deleverage when compared to the prior year, driven primarily by a higher mix into international net sales. Recall, in Q1 2024, margins benefited from the lower international mix. We expect our first quarter SG&A rate to be approximately 30.2% comparable to Q1 '24. Our first quarter outlook includes net non-operating expense of approximately $65 million, a tax rate of approximately 29% and weighted-average diluted shares outstanding of approximately $217 million. Considering all of these inputs, we are forecasting first quarter earnings per diluted share of $0.36 to $0.43. A few additional points on our guidance. As it relates to tariffs, we have included the impact of China in our guidance. We have not included other potential tariff impacts in our guidance due to the current uncertainty. We will continue to monitor the situation closely and proactively pursue strategies to mitigate these impacts. Our 2025 net sales growth is expected to be generally consistent across the quarters. And finally, we are planning for inventory to be up mid-single digits in the first half of 2025, as we are accelerating certain holiday-related inventory builds to support our growth goals while optimizing our supply chain capacity. Now for a quick update on capital allocation. We are strong cash flow generating business and our top priorities remain driving sustainable long-term profitable growth through strategic investments in the business. For the full year 2024, we invested approximately $245 million into capital projects. The vast majority of these capital investments are reported as capital expenditures in our cash flow statement. We generated $725 million in adjusted free cash flow in fiscal 2024, allowing us to deliver on our priorities of returning cash to shareholders and deleveraging our balance sheet. We repurchased $514 million principal amount of senior notes in 2024 and have now achieved our goal of 2.5 times gross adjusted debt-to-EBITDAR. We paid out $177 million in dividends and repurchased 10.4 million shares of common stock for $400 million in 2024. In total, we returned approximately $577 million to investors in 2024 through dividends and share repurchases. In 2025, we expect to invest between $250 million and $270 million in capital expenditures with a continued focus on real estate and technology. The increase in spend versus 2024 largely reflects some 2024 supply chain projects that moved into 2025. We expect to generate free cash flow of $750 million to $850 million in 2025, which includes working capital improvements from our Fuel to Growth initiatives. We expect to continue our annual dividend of $0.80 per share. As I previously said, our outlook includes the expectation to repurchase approximately $300 million of shares. In summary, I'm proud of our team's hard work and focused execution in 2024, which enabled us to finish the year strong and build momentum entering 2025. With that, I'll turn the call back to Gina for some closing remarks.
Gina Boswell: Thank you, Eva. As we close out our 2024 financial year, I'm pleased with the progress we're making and I'm excited about the momentum we're carrying into 2025. Our strategy is working and we're beginning to see results. We are laser-focused on achieving sustainable long-term profitable growth and creating value for our customers and shareholders. As we look to the year ahead, we have a lot to be excited about. I will now turn the call over to the operator for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Ike Boruchow with Wells Fargo. Please proceed with your question.
Ike Boruchow: Hi, good morning, everyone. Gina, I guess I wanted to ask, so building on the improvements exiting last year, it sounds like you're excited about a lot. I mean, what are you most excited about as you look to 2025? And then maybe just regarding the 1Q trend, there's been a lot of buzz around Disney. Can you give us any color on the Disney collaboration? Any KPIs you could share would be great. Thank you.
Gina Boswell: Thank you, and good morning, Ike. Great to hear from you. You're absolutely right. I think just stepping back, we're pleased with our Q4 performance, especially when you consider the calendar shifts that sequentially every quarter of 2024 has improved. So that speaks to the momentum that is exciting. It's great to close out the year and being able to build that, as well as delivering sales and earnings that exceed. But I'm even more excited about our innovation pipeline. It is underpinned obviously by our fragrance leadership and our authority. And that's not just true of the core, it's the core and more, as I like to say. So I'm excited by innovation around the core and the adjacent categories that we speak to. And I'm pleased with how we started Q1. I think, to your point, the Disney collab, I encourage everybody on the call to go into the stores, because I think what you'll see is, it's driving customer excitement and that's what happens when you see this reaction to exceptional product and storytelling brought to life. I think that is what Bath & Body Works does best -- better than anyone, and I think if we continue that with the product and the experience and the marketing that we've been talking about, I am really confident that our portfolio is positioned for growth in 2025. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Matthew Boss with J.P. Morgan. Please proceed with your question.
Matthew Boss: Great. Thanks, and congrats on a nice quarter.
Gina Boswell: Thank you.
Matthew Boss: So, Gina, maybe could you speak to drivers of the underlying revenue growth and, in particular, the traffic acceleration that you've seen in the last two quarters? And just confidence maybe on the sustainability of this revenue inflection, if you could elaborate on first quarter performance, maybe what you've seen so far and just tie in a bit on the product pipeline for 2025? And then, Eva, just I guess, maybe high level, what level of revenue growth is required to drive operating margin expansion from high-teens today?
Gina Boswell: So, Eva, if you could start with the last part, and then I'll pick up the first?
Eva Boratto: Sure, sure. So in terms of driving leverage, Matt, I would say, there hasn't really been a change in our algorithm. It requires on the B&O line about 2% to 3% of sales growth, and on the SG&A line, 2.5% to 3.5% sales growth.
Gina Boswell: And I would say, in terms of the traffic acceleration, we have a number of ways to drive traffic. We certainly have the things that we just spoke about, which is very powerful collabs, where you really have powerful brand connections like Disney. But frankly, we saw Emily in Paris. We saw previously Stranger Things. I think this is our fifth major collab. But it's -- the sustainability of it is really that three-legged stool that we speak about. The product has to be compelling on trend, and I was really pleased with how we delivered in the holiday against that. And certainly, the marketing, I mean -- again, Disney is an example. But when we hit virality and we have organic TikTok views, we know we're meeting pretty much across the board all the customer cohorts, to get them to come into the stores or to come online. And then technology, we're moving now with the loyalty in its third year, some of the personalization and things that we can do to trigger to make sure that we're meeting the customers where they're at and getting them excited about some of the traffic. Think about early access, that's traffic acceleration as well. So these, we believe, I believe, are certainly sustainable, and that's where my confidence is coming from for the growth in 2025.
Eva Boratto: Yes. And I'll come back, Matt, to your first quarter question and how the quarter started. Listen, we're pleased with how the quarter started. You heard Gina talk about Disney. And we have two months ahead of us, but we're pleased with how it started and we know our customers respond to innovation and we're super excited what we have to offer as we progress throughout the year.
Gina Boswell: Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Lorraine Hutchinson with Bank of America. Please proceed with your question.
Lorraine Hutchinson: Thank you. Good morning. I wanted to gain a better understanding of your full year sales guidance. There's a lot happening. Candles are less of a pressure, adjacencies and collaborations are working, international is returning to growth. I guess, I was just curious why you based your guidance on prior trends. Are there offsets we're not thinking about, or is this a bar that you hope to beat?
Eva Boratto: Yes. Good morning, Lorraine. It's Eva. Overall, we always look to deliver or beat our expectations. We're very focused on that. And I think -- as you think about the assumptions underlying our outlook, right? Like you said, at the midpoint, it assumes consistent trends with what we delivered in Q4, which has been an acceleration. We're assuming that there are no material changes to our promotional levels and we have not assumed any improvement in the macro or consumer sentiment. And there's a lot of noise out there on that front. At the high, sales trends would accelerate, driven by the innovation that we're bringing, potentially some macro tailwinds or improvement in consumer sentiment. And we're excited about the newness, right? Whether it's Disney that Gina spoke about. Later, we'll have a candle restage. So a lot going on here, and we'll look to deliver or exceed on these expectations.
Gina Boswell: And I'll add, that we always have an agile model. So if we start to really catch the momentum further, we have an ability with our supply chain to meet that momentum. Thank you. Next question?
Operator: Thank you. Our next question comes from the line of Kate McShane with Goldman Sachs. Please proceed with your question.
Kate McShane: Hi, good morning. Thanks for taking our question. We wondered if you could talk to any more detail around the winter semi-annual sale and how it trended versus the summer semi-annual sale and last year? And just how you think collabs will play a role in maybe reducing some emphasis on the semi-annual sale in the quarters that you run it?
Gina Boswell: Great. Thank you. Nice to hear from you, Kate. I would say, on the semi-annual sale, it's generally semi-annual sale was generally in line with our expectations. We did have strength during the holidays. And so, our inventory levels, particularly those that were online, were lean heading into [SAS] (ph). So, that affected sales. But we ended the year in a clean inventory position, which is, of course, an important metric of SAS as well. And so, we were pleased to deliver Q4 sales above the high end of our guidance. Summer SAS, we always look at the learnings and hindsight’s and we'll be building that in, as we talked about in our last quarter, into 2025. As it relates to the collabs. Collabs are, as I said in my prepared remarks, a really important and distinguishing differentiated storytelling opportunity that we have, and they drive traffic and excitement as well. So I think that without speaking about collabs that we're expecting in the future, they're contemplated in our guidance. We'll have more to talk about it. But when you have that level of traffic going in and sort of a bit of scarcity, if I may add, there's some level of scarcity, too. That is a great approach to really pulsing, not just with promotions and clearance and things like that with SAS, but collabs actually serve to drive traffic conversion and an overall brand heat that we like. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Alex Straton with Morgan Stanley. Please proceed with your question.
Alex Straton: Thanks a lot for taking the questions. Congrats on a nice quarter. Just two from me. Maybe one for Gina. You highlighted younger customer acquisition a lot today. Do you have any sense of the average age of the current customer? How that's evolved over time? Any goals from a target perspective? And then for Eva. What does 2025 sales guidance assume as it relates to volume or units compared to AUR? Thanks a lot.
Gina Boswell: Thank you, Alex. Great to hear from you. I'll start on the younger customer. We -- actually, when you're in 40% of households, the average age of the current customer is probably not as meaningful and we were across the board. But you're absolutely right that we think about younger customers as both an area of recent success and also continued opportunity. And so, I'd like to just break it down into three areas about how we're evolving and what we're getting after. First is, their views of the brand, right? Second is how we reach them; and third are the products that we serve them. So if I just speak to that, the brand perception. So we track the brand attributes quarterly and it has been gratifying to see that, increasingly, Bath & Body Works is seen as a more youthful brand. We noticed that they're taking notice of their experiences, they're more likely to come back. And in part, that's driven by a rise in perceptions that we provide a high-quality product, right, if you think -- and I'll speak about product in a second, but Everyday Luxuries, lip, et cetera. In terms of reach, we're reaching them where they are -- on social media, on TikTok via influencers, and with increased cultural relevance, which is important to the younger customer. And thanks to some of our messaging and our on-trend messaging and our collabs, that's been working as well. And then finally, products. We always talk about how lips is a playground for the younger customer and the fixture and how that lights up, but also, Everyday Luxuries are resonating well. And then finally, importance of our reformulations in the past couple of years. This is also important, not just to the younger customer, but they certainly speak to that as well. So that's how we're seizing on this opportunity. And I'm personally seeing them coming to stores. And so, it's really gratifying to see the progress. So, I'll give Eva for the second question.
Eva Boratto: Yes. Alex, on your question about how to think about volume versus price, as I said, our promotional activities, we're not assuming a step-up in promotional activities. So I would think about our guidance being volume led and we'll continue, as we always do, to be agile and adjust where the customer mindset is to maximize both top line, as well as margins that we can drive. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Mark Altschwager with Baird. Please proceed with your question.
Mark Altschwager: Good morning. Thank you for taking my question. I wanted to drill down on international for a moment. You're expecting that to return to growth this year. I was hoping you could give a bit more color on what you expect the shape of the year to look like. And then you flagged international as a headwind to gross margin in the first quarter. Is that the case for the full year? I know there's two different revenue streams there with the wholesale sell-in, as well as the royalty. So, not sure if Q1 is a good indicator there. Thank you.
Eva Boratto: Yes. Thanks for the question, Mark. So, a couple of things. Overall -- let me take the full year first, right? As we look forward, we expect system-wide retail sales to continue to grow in market through market expansion, as well as growth in our existing markets. On a net reported sales basis, I would think about the full year growth not really having an impact on margin -- it returns to growth in the mid-single digit range zip code. Q1 has an outsized impact on both top line and margin, given we expect double-digit growth there, given timing of shipments and the step-down last year. So there's more noise in the first quarter that's affecting the margin profile.
Gina Boswell: Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Paul Lejuez with Citi. Please proceed with your question.
Paul Lejuez: Hey, thanks, guys. If we go back to your tariff comments, can you just remind us what your large countries are in terms of exposure? I know you built in China, but you've said nothing else at this point due to the uncertainty. So, just where is your exposure by country? And then separate, curious what you assume for the adjacent categories growth this year. You were 10% when you add them all up this year. Where do you think that number goes for 2025?
Eva Boratto: Yes, good morning. I'll take -- this is Eva. I'll take the tariff question first. So, of our mix, about 10% of our supply is China, and we have included that in our outlook. And as you think about Canada and Mexico, they represent about 7% combined, split relatively evenly. So we're continuing to watch the market, what is going on. Canada, particularly, given our business there as well as our production. We will -- we're preparing to adapt to whatever market we're in and working on mitigation strategies to help offset any potential future impact.
Gina Boswell: And as it relates to the adjacencies, adjacencies, as we talked about in our remarks, in aggregate, grew above shop and that was consistent with the first half of the year. So it's good to see that. And we're measuring performance not just in terms of the category growth, but also the incrementality that they bring, the new customer reach, et cetera. We do expect that adjacencies will become a larger percentage of our mix in 2025 and beyond. And what I like about adjacencies, and specifically, we're talking about men's, which is the largest one here, but lip, laundry, hair, they are large addressable markets and many of them -- I would argue men's, I would love that to graduate into -- from adjacencies into future core, and that is certainly the plan. So yes, the direction of travel is higher and it's built into our guidance as well. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Krisztina Katai with Deutsche Bank. Please proceed with your question.
Krisztina Katai: Hi, good morning, and thanks for taking the question. Just wanted to touch on your level of newness that you have talked about. Obviously, an exciting pipeline that you have planned for us. So, can you sort of contextualize the level of product newness you have planned in 2025? You obviously talked about Everyday Luxuries expanding. I think I heard body creams and washes. You obviously also have a much bigger start to collaborations in the year with the Disney launch. You also talked about a candle restage later. So, how does the overall level of newness or just the product staging changes compared to what we saw in 2023? Thank you.
Gina Boswell: Thank you for the question. In 2023, well, this -- first of all, newness in general is the lifeblood of the industry and certainly for Bath & Body Works. We are every bit as newness-focused as we had been in the past couple of years. And I think, to your point -- you've mentioned many of them, we are developing more and more platforms from which newness is the sort of gift that keeps on giving. So that notion of Everyday Luxuries and how we can really use our differentiated expertise in taking a single fragrance and putting across all the ancillary products is a strength and an asset that we lever. Yes, some of the collabs also bring it to life through categories. And honestly, we speak about some of the adjacent categories, additional platforms that they represent. We talked about lip and how we are going to be bringing additional lip products quarterly. So, how it compares is it's -- we're leaning in in terms of the percentage, but most importantly, the quality that we want to bring and the fact that it's on trend and meeting the broad cross-section of customers that we serve. And we're -- obviously, existing customers know us for many of these, but we're also obviously approaching new customers at different age ranges. So we're excited with what we have in store for 2025. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Dana Telsey with Telsey Advisory Group. Please proceed with your question.
Dana Telsey: Hi, good morning, everyone. As you think about the buildup of the loyalty program, I think it grew 6%. How are you thinking about that for 2025 and beyond? And the new customers you're capturing, any differentiation in their demographic profile? And then, Eva, on cost savings, how do you see the opportunities for cost savings going forward? And is there any particular categories to be focused on? Thank you.
Gina Boswell: Thanks, Dana. Great to hear from you. In terms of our loyalty program, we're thinking about not just -- we're pleased with the enrollment increase for sure, the fact that we grew 6% year-over-year. And we're really pleased that as that active member count continues to grow, we get even better quality of the loyalty members. So the increased spend, the trips, the cross-channel purchases, all those sort of force multipliers, we're excited about, and of course, the higher customer retention. And we've got a lot of sort of enhancements planned for loyalty go forward and -- that I think will be exciting both to the existing customers, as well as the new customers. We have noticed an improvement in the new customer trend and certainly an improvement in the existing customer. And if you recall, we broke down customers in some sort of psychographic segments, and all of 2024, it was great to see that the Fragrance [Fashionista] (ph), which is sort of double the lifetime value of any of the other customers, have grown every quarter. So we're, I think, hitting the mark on both existing customers and new customer improvements over that. And that is a credit to loyalty, but as well as our marketing message, our stellar product, not to mention our fantastic experiences in-store. So I will hand it to Eva for your cost savings question.
Eva Boratto: Sure. Thanks for the question, Dana. Good morning. Overall, we're extremely pleased with what we've delivered over the past two years, $300 million of incremental savings between 2023 and 2024. And we see this now as embedded in our DNA and how we're managing the overall P&L. We'll continue to mine for opportunities, right? We have value engineering programs with our product going on. Constantly how we work eliminating the non-value piece while we won't affect our things that will affect our top line, our experience in the stores, right? We want to maintain that great customer experience that we have. So we'll continue to look for efficiencies and we'll have more to come.
Gina Boswell: Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Olivia Tong with Raymond James. Please proceed with your question.
Olivia Tong: Great. Thanks. Good morning. One short term and then one on margins. First on the short term. The midpoint of your Q1 guide suggests that -- suggests Q1 growth similar to Q4, normalizing, of course, for timing. We've heard obviously a number of companies talk about pretty tough January because of the weather and other external factors. So, wondering if you saw that as well. And if so, what's driving the improvement since then to result in the recovery to offset a tougher January for the rest of the quarter? And then on margins for fiscal 2025, you mentioned that you're looking for flattish margins, but obviously, there's a lot of puts and takes in the middle before you get back to flat. So, can you talk about some of those, as well as the margin impact of the tariffs embedded into your outlook? Thank you.
Eva Boratto: Yes. Thanks for that. Let me start with your Q1 in January. We did see -- we won in Q4 in November, December in the holiday period, as we said previously. January was a bit lighter, but we were in line with external markets. We win on our newness and our innovation. And I'll say again, we're pleased with how we started the quarter. We still have an important two months ahead as we build towards Mother's Day and Easter, but we're pleased with how the quarter started and we'll continue to focus and execute to deliver on the outlook we provided today. On gross margins for the year, overall, I would say we're getting the benefit of wrap of our cost reduction initiatives that we drove last year. B&O, I would think about as largely flattish from a leverage perspective. And tariffs, it's a pretty de minimis impact as we've baked in China only and we have some pressure on merch margin, given mix of our product and some of the newness that we're bringing. And as we've said, those products tend to start at lower margins, and as we scale, margin improves. So, overall, we're pleased with the outlook that we provided.
Gina Boswell: Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Jay Sole with UBS. Please proceed with your question.
Natalie Koltermann: Hi, this is Natalie Koltermann on for Jay. Thanks so much for taking our question. I wanted to ask about freight. With the recent moves lowering ocean freight rates, do you expect freight to be a tailwind to margins this year? And what type of impact do you have incorporated in the guide? Thank you.
Eva Boratto: Thanks for the question. I would say, from ocean and freight, it's really not a material impact for us. A big driver of our overall savings we've driven over the last two years has been in the transportation and move areas. But on the ocean and freight, I wouldn't -- it's not material. Thank you. Next question, please?
Operator: Thank you. Our next question comes from the line of Korinne Wolfmeyer with Piper Sandler. Please proceed with your question.
Korinne Wolfmeyer: Good morning. Thanks for taking the question. I'd like to dive a little bit deeper into the SG&A guidance for the year. It looks like it's roughly going to be about flat as a percent of sales. Can you give us any context on where we could see some more leverage and what could drive some more leverage over the course of the year where there might be some upside? And then how to think about the cadence of that spend over the course of the year? Thank you.
Eva Boratto: Yes, thanks for the question. Overall, from a leverage point on SG&A, you would expect to see 2.5% to 3.5% top line sales growth to leverage SG&A. As you look at our outlook on the SG&A front, we have increased our investment in technology in 2025 versus 2024. It's more back half-weighted and that's as we continue to -- on our modernization tech journey multi-year initiative that we have. Next question, please? Thank you.
Operator: Thank you. Our next question comes from the line of Ashley Helgans with Jefferies. Please proceed with your question.
Ashley Helgans: Hey, thanks for taking our question. Curious if you could talk a little bit more about the underlying expectations for the fragrance industry as we're just starting to hear from some other companies that the category is normalizing a bit? Thanks.
Gina Boswell: Thank you for the question. We -- being the fragrance leader in some of these categories, we obviously monitor a bit more in the rearview mirror in terms of how it's showing up, and it has been pretty buoyant. So I can't speak for others. But look, what we have been seeing is that, especially in some of our customers, it continues to be a very sort of transportive place, right? One of the things I like about it is it's directly lined up with your neural pathways. And so, the consumer sentiment, it's a place where I think, from an industry perspective, there's a lot to like about this industry across different channels. Where we sit, we are at the center of math and prestige, and I think that's uniquely positioned to really being able to meet a broad set of customers that really want a bit of fragrance. And that's why I'll just say, on the Disney collab, you can go to a park and you can go to all these other things or you can have a little piece of Disney in your life from a fragrance point of view. So I'm a -- I think the industry is a fantastic place to be. And as a leader, we like this portfolio as well. So, thank you for the question. Next, please?
Operator: Thank you. Our final question comes from the line of Marni Shapiro with The Retail Tracker. Please proceed with your question.
Marni Shapiro: Hey, guys, thanks for taking my question. Two quick ones. The first is, I'm curious if you can talk a little bit about Scent-Scription. Have you had people enrolled? What this looks like? What you think it can be over time? And I'm assuming the 25% off is easily recouped, because those customers are not going to get, say, the buy three, get three promotions. They'll just be on a regular cadence, easier to model, I'm guessing, for you. And then my second question is just a simple one. I have -- I'm sorry, but I have to know which Disney Princess is selling the best.
Gina Boswell: Let's see if we can share on -- you may not get the best, but get -- you might get our favorites.
Ashley Helgans: Okay. That's fine.
Gina Boswell: On the Scent-Scription, obviously, this is designed to -- yeah, to really address the replenishable nature of our fragrances. And so, it's small today, but it is growing, and I think it -- I don't have the exact what it could be as a percent over time, and you're absolutely right on the 25%, this notion that it's very convenient, right, to be able to get this. And so, there's a level of stickiness. We had a version of Scent-Scription before. We renamed it and we actually had a broader assortment. It had been Wallflowers, right, because -- and the idea there was some people don't always remember that the wallflower bulb is actually running dry. Actually, now, we've broadened the assortment, including things like laundry, right, which are more replenishable as well. And we really like what we see with respect to the growth, but it's early days on Scent-Scription. Which princess selling the best? We're only -- it's early days for that, too. We're only 10 days in. I can tell you, I went last night, and in my local store and my personal preference, Tiana was knocking it out of the park. Hope you enjoy one of the six. So thank you. Thank you for that question. Believe that's our last?
Luke Long: All right. That concludes our Q&A. We want to thank you for joining today's call. A replay will be available for 90 days on our website. Thank you for your interest in Bath & Body Works Bath & Body Works.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.